Operator: Good day everyone and thank you for calling the Ralph Lauren's Third Quarter Fiscal Year 2008 Earnings Conference Call. As a reminder, today's conference is being recorded. All lines will be in a listen-only function during the presentation today. At the end of the presentation, we will conduct a question-and-answer session. Instructions on how to ask a question will be given at that time. Now for opening remarks and introductions, I will turn the conference over to Mr. James Hurley. Please go ahead, sir.
James Hurley - Investor Relations: Good morning and thank you for joining us on Polo Ralph Lauren's third quarter fiscal 2008 conference call. The agenda for today's call includes Roger Farah, our President and Chief Operating Officer who will give you an overview of the quarter and comment on our broader strategic initiatives. And then Tracey Travis, our Chief Financial Officer will provide operational and financial highlights from the third quarter in addition to reviewing our expectations for the remainder of the year and our preliminary view on fiscal 2009. After that, we will open up the call for your questions, which we'd like to limit to one question per caller. As you know, we will be making some forward-looking comments today including our financial outlook. The principal risks that could cause our results to differ materially from our current expectations are detailed in our SEC filings. And now I would turn the call over to Roger.
Roger N. Farah - President, Chief Operating Officer: Thank you Jim and good morning everyone. We are pleased to be reporting strong financial results today. We met our expectations for the first nine months of fiscal 2008. Even as we continue to make significant investments in long-term initiatives, many of which are just being launched now in the final month of our fiscal year. In the third quarter, we delivered 11% sales growth with solid retail comps of 5.7% with both of those metrics tracking to their respective year-to-date trends. Internationally our wholesale and retail businesses continue to be strong across all regions of Europe, although we did these softening trends in the US and Japan. There is no question that the third quarter was a difficult period for our entire industry. The rough change in consumer sentiment and spending patterns that began last fall is almost unprecedented. The impact was felt across all channels in the US. While it is not immediately clear that the trends in the US will impact the consumer discretionary overseas, the talk of a consumer-led US recession is building, as is the speculation of how this might impact global growth prospects. As we sit here today, the US consumer remains very tentative. As a result, we along with our retail partners are being cautious with respect to sales planning, inventory planning, and receipt planning. And we intend to operate with this lens of prudence throughout the next year. Our current outlook, which Tracey will you walk through in more detail later, reflects the more conservative view on consumer discretionary spending across all of our channels and geographies. Even in the context of uncertainty, our strategies and focus remain intact, and we continue to execute against our stated objectives. Many of you already know what these initiatives are, but the breadth of scope should not be under-appreciated since it includes emerging retail concepts, new product initiatives like American Living, dresses and watches and acquisitions like Japan and small leather goods. I would like to give you an update on the progress of these initiatives. Regarding our direct-to-customer efforts, as you know, we operate... opened our customer service and fulfillment center, RalphLauren.com, in November. Today, our contact center operation has exceeded our expectations on every service level metric. We are currently taking 72% of the income in customer contact, which is ahead of our plan for this stage in the transition. We are on track to assume full ownership of customer contact by the end of the fiscal year. The fulfillment center transition remains on schedule and we expect to begin shipping out of the new facility in April with the first inventory receipts arriving in mid-February. Our investment in this dedicated facility for RalphLauren.com is an important milestone for the business, one that provides a robust platform to support future growth, both in terms of anticipated sales volumes and breadth of products that will be processed at the fulfillment center. Our direct-to-consumer initiatives include the evolution of our global retail store network. Our biggest project remains the opening of three Parrot [ph] locations over the next 15 months. Parrot is a major European market that has been under developed for us for some time, and we have been working on a real-estate strategy there for a number of years. What we are doing in Parrot is akin to what we have already successfully done in London and Milan. This involves an integrated retail and wholesale strategy where we anchor the market with a substantial directly operated retail presence that ultimately enables us to build a stronger wholesale business. Our store development, creative services, and public relation teams are working diligently to ensure the success of this major brand re-launched in this important luxury market. We continue to make strides with our integration of our newly acquired Japanese business. During the quarter, we allocated significant managerial resources to our transition effort. These resources were drawn from across our organization and we are excited about the interdisciplinary expertise we now have on the ground in Japan. Earlier this week, we announced the appointment of the new President of Impact 21, who will be leading both the strategic and day-to-day management of our Japanese business. As we've communicated before, Japan is an opportunity, where we hope to leverage our in-house design merchandising and supply chain expertise to have a positive impact on sales and profits, and what is one of the most important luxury markets and our second largest country in terms of brand sales at retail. Our integrated effort involves examining every aspect of the existing business model and taking the time to make the right strategic decisions for the long-term benefit of the brands. In reality, we are integrating organizations with different processes, objectives and cultures into one and this is very complicated. At the same time, we are actively reworking our sourcing and distribution strategies for Japan, streamlining the legacy processes and bringing them more in line with our existing global standards. We are also instituting best practices among our finance, information technology and assortment planning functions. I feel good about the roadmap we've laid out for ourselves in Japan, which we expect to evolve in a similar manner as our European business did, when we made the transition from being a licensed business to one that we directly run ourselves. At this stage in the process, we are also changing the merchandise strategy and inventory management process, which means we'll be liquidating excess Japanese inventory as quickly as possible to help facilitate our brand repositioning effort. Over the next three years, all of the major Japanese department stores have large-scale renovation plans. We hope to partner with our wholesale customers to more effectively position our brands within these stores. This activity will offer us the opportunity to more appropriately tier our product presentations on a door-by-door basis. In addition to our department store initiatives, we continue to explore specialty store distribution in Japan, the specialty since it has been one of the more dramatic channels of growth over the last several years. With respect to the remaining product licenses in Japan, they are set to expire at the end of this month, and we'll update you on their status on the next earnings call. Product-wise, we have begun to ship dresses across Lauren Chaps, an American living brand. Response to the product has been positive, and the launch has been supported by category-specific advertising. As a reminder, this initiative was pursued to round out our product offering and what has proven to be one of the more compelling high growth classifications over the last two years. We expect our dress categories to evolve organically over time, thanks to growing breadth and depth of assortment as well as through additional door count. Regarding our accessory efforts, we have tested our revitalized Lauren Footwear assortments during the quarter. The early read on the customer's response is encouraging with many styles selling through at a weekly double-digit rate. The buyer feedback at the most recent footwear market is also positive. We look forward to the growth of our footwear category over the next few years, as we believe we are now offering compelling products with an equally compelling value proposition all of which is supported by an enhanced supply chain. At the beginning of calendar 2008, we regain the rights to design, produce and market handbags and luggage in the United States due to the expiration of an agreement with our former license. We are now actively committing resources to the development of this important emerging category for us and we're targeting wholesale distribution of both Lauren and Ralph Lauren handbags for spring 2009. In regards to our partnership with Richemont from the development of watches and fine jewelry, we expect to introduce a line of high-end luxury watches in spring 2009, the products would initially be still sold in a select number of our directly operated stores and then rolled out to a broader network inclusive of wholesale distribution later in calendar 2009. We are also now just a few weeks away from the launch of our first brand under global brand concept. American Living will be distributed at 575 JCPenney doors online and in the JCPenney catalog. American Living is a comprehensive lifestyle brand whose scope of new product category introduction will evolve over the next 18 months. And now many of you have been very interested in learning more about the American Living product. The JCPenney stores are being prepped for the official February 24 launch, which is going to supported by a major advertising campaign beginning with the Academy Award Oscar telecast. The product has been fully set up in a test store in Texas and various categories are being fully rolled out to stores across the country ahead of the official launch date. Simply put, we're extremely proud of what we have developed from American Living. It was only one year ago that we announced the creation of global brand concept and soon thereafter our intention to launch American Living exclusively at JCPenney in the United States. In that short period of time, we have developed four different lines across nearly 50 product categories that span everything from apparel to civil wear. Needless to say this has been a tremendous undertaking for us and JCPenney. The fact that we are sitting here today, having conceived out, produced and delivered such a variety of excellent products in a short time is no small feat. We are excited about this long-term partnership with Penney for a number of reasons. First it demonstrates our ability to operate comprehensive full assortments for an entire new brand. That includes everything from the original idea to delivering finished products in the store. That is complemented by our cohesive visual presentation branding and marketing strategy. Second it helps diversify our business by reaching customers in new channels of distribution. Finally the strategy behind our global brand concept group is to leverage our work on a global scale, which is in line with our long-term goal to diversify our business by geographies. So that is the status update. Although much of the start out burden associated with many of these initiatives was concentrated in fiscal 2008, we will continue to invest in all of these strategies in fiscal 2009 and beyond. As you know in the past few years, we have made significant long-term investments in our international business with the expansion of Europe and product categories such as Lauren and Children and channel expansion with our own retail stores and e-commerce as well as infrastructure investments to develop world-class supply chains. We are proud of the progress we have made and are hopeful that our new initiatives will deliver similar returns. Even as we have invested for growth, our balance sheet and cash flows have remained very strong. Before we move on to the financial review, I want to reiterate the comments that Ralph made in this morning's press release. As the diversity of our brand portfolio, the strength of our lifestyle positioning, the talent of our creative and managerial teams and our increasingly global reach are all enviable assets; that is the vision as well for the long term growth. We believe this provides us with the competitive advantage as we navigate through the volatile times. At the end of the day, great brands with great products will perform, both in good times and in challenging conditions. So, now let me turn the call over to Tracey to discuss the financial and operating highlights of the quarter.
Tracey T. Travis - Chief Financial Officer, Senior Vice President: Thank you Roger and good morning everyone. First I'd like to highlight the drivers of our third quarter net income and earnings per share performance. Then, I will take you through our guidance for the remainder of fiscal 2008 and our preliminary expectations for fiscal 2009. For the third quarter, we achieved consolidated net revenues of $1.27 billion, an increase of 11% over the prior year's period. Higher sales were achieved through a combination of organic growth and acquisitions. When we exclude the impact of a non-comp recent licensee acquisition and as a reminder there was our Impact 21 in Japan and New Campaign, Inc for small leather goods. Third quarter net revenue still increased to a healthy 6%. Our strategy of diversification into international markets continued to be an important driver of top line growth during the third quarter as we experienced strong sales across all product lines in Europe. And our men's wear product experienced strong sales globally. In the third quarter, we were also able to support the phasing-in of store set ups for the launch of American Living at JCPenney later this month as Roger mentioned by beginning to provide product to their distribution network earlier than we had originally planned. Our retail stores also contributed to our third quarter revenue growth. Consolidated counts in our directly operated retail stores were up 5.7% for the quarter, which was achieved on top of a 7.4% comp gain in the third quarter of fiscal 2007. Our gross profit dollars increased 10% to $677 million and our gross profit rate declined 40 basis pints to 53.3% in the third quarter compared to 53.7% during the same period last year. Excluding the full impact of the recent acquisitions, our gross profit rate was 20 basis points higher than last year as the benefit of higher European sales offset increased promotional activity in certain of our domestic businesses. Third quarter operating expenses increased 18% to $506 million compared to $430 million in the third quarter of fiscal 2007. Operating expenses as a percent of revenues were 39.8%, 220 basis points higher than last year. The higher operating expenses primarily reflect the impact of the newly acquired businesses both the non-cash effect of the purchase accounting as well as their operating expenses. Higher stock-based compensation cost, higher advertising and public relations expenses and higher expenses commensurate with the overall growth in our core businesses. Our third quarter operating income declined 7% to $171 million, approximately $16 million of decline in operating income is due to the non-cash amortization related to the purchase accounting for the recent acquisition. This represents more than 100% of the year-over-year decline in our operating income. Our third quarter operating margin was 13.4% compared to 16.1% in the third quarter last year representing a 270 basis point decrease. Other drivers of the margin decline include the investments in new product launches and the increased stock comp I mentioned before. Net income for the third quarter of fiscal 2008 increased 2% to $113 million and net income for diluted share increased 5% to $1.08. The increase in our net income and diluted EPS results principally reflect... relate to an effective tax rate of 31.1% in the third quarter of fiscal 2008 compared to a 38.9% rate in the comparable period last year, which more than offset the decline in our operating income that we've already reviewed. The lower effective tax rate for the quarter was primarily due to the resolution of discrete tax items in the quarter that were partially offset by the higher tax expense associated with our adoption this year of FIN 48. Now I would like to spend a few minutes providing more insight into our segment highlights for the quarter. Regarding our Wholesale segment, sales grew 17% to $627 million or 5% excluding the Japan and small leather goods acquisitions. The increase in Wholesale revenues was primarily driven by American Living as discussed earlier, global menswear growth and sustained momentum in Europe. In the US, our men’s and Chaps product lines continue to experience growth in the quarter while our Lauren and children's wear product sales were more challenging. Lauren holiday and resort product introduced towards the end of the quarter had better sell through than what was both a difficult department store and retail environment this holiday season. We shipped a fair amount of American Living product in the quarter to support the upcoming launch at JCPenny. European sales continue to show growth across all product categories in most regions with particular strength in Italy and the UK. And Japan sales were not inter based last year due to the acquisition of the license occurring in the first quarter of fiscal 2008 has been more challenging. Our wholesale operating income increased 14% to $104 million as a result of the higher sales. Our reported wholesale operating margin was 16.6%, 50 basis points below last year's operating margin of 17.1%. The decline primarily reflects higher SG&A expenses to support new product lines as well as the non-cash effective purchase accounting related to the recent acquisitions. Excluding the impact of those acquisitions, the wholesale operating margin would have expanded 70 basis points to 17.8% primarily due to shipments of American Living and strong European sales. For retail group third quarter sales increased 9% to $589 million and overall comp store sales increased 5.7% reflecting an increase of 6.4% at Ralph Lauren stores, 6.2% at factory stores and flat comps at Club Monaco stores. RalphLlauren.com sales were up 23% over the comparable period. Despite strong aggregate comps for the quarter, like many other retailers our same-store sales trends did soften during December in both the US as well as in Europe. In the US, the Northeast region excluding New York, the Mid-Atlantic region and the Midwest posted the weakest results while the New York Metro region and Texas were our strongest sales areas. Our New York stores clearly benefited from robust store shopping over the holiday season. And in Japan, our retail sales are also growing at an impressive double-digit rate in our retail stores. We opened 7 new stores during the quarter, one of which is a 14,000 square foot store at Lenox Square mall in Atlanta. The store is located in the luxury wing of the mall and it is double the size of the store replaced. The store features a complete offering of every division of men, women, home and accessories. We also opened a freestanding men’s store in Malibu, California that joints our other Malibu locations for women's and Double RL. Internationally, our second London children's store on Fulham Road in London featured our full children's product assortment from Layette to boys age 18 and girls up to age 12. Retail operating income was $94 million compared to $95 million in the third quarter of last year and the retail operating margin was 16% versus 17.6% last year. The declines in retail operating income and margin rate primarily reflect increased occupancy costs related to future store expansion plan in our new RalphLauren.com fulfillment center. Increased promotional activity at some of our retail formats, our modest non-cash effective purchase accounting associated with the acquisition of the minority interest in RalphLauren Media that we previously did not own, and expense growth related to the higher sales that we reported. Licensing royalties for the quarter was... were $55 million, 19% below the prior year and operating income decreased 39% to $26 million. The decline in licensing revenue and operating income was primarily due to the Japan acquisition. Excluding the effect of these acquisitions, licensing revenue declined 5% and operating income contracted 3%, primarily due to the receipt of a one-time accelerated payment of $8 million to exit a licensing arrangement that was reflected in licensing revenues in the third quarter of last year. The decline in licensing revenue and operating income were partially offset by higher eyewear and fragrance sales as well as growth in Chaps license sales this year. We ended the third quarter with $804 million in cash or $186 million in cash net of debt. On a reported basis, we ended the third quarter with inventory up 20% over the comparable period last year. The year-over-year growth in inventory is primarily related to recent acquisitions and new products mostly Japan and American Living in the quarter. During the quarter, we invested $59 million in capital expenditures for new retail stores. Our new retail RalphLauren.com fulfillment center, new shop installations, and other infrastructure investments. Year-to-date, we have spent $152 million on capital expenditures to support future growth plans. We did not repurchase any stock during the quarter and we continue to have approximately $298 million remaining on our existing share repurchase program. Year-to-date, during fiscal 2008, we have repurchased $320 million worth of our Class A common stock. Now, I would like to address the outlook for the remainder of fiscal 2008 and outline our preliminary thoughts on fiscal 2009. For the full-year fiscal 2008, we expect revenue to increase by a low double-digit percentage, which compares to our prior expectation of low teens percentage growth. The slightly more moderate top line outlook effectively takes into account recent sales trends that we saw materializing in the business during the holiday season. We still expect our reported operating margin to be down by approximately 250 basis points compared to fiscal 2007. Regarding our earnings outlook, we now expect fiscal 2008 diluted earnings per share to be at the low-end of the range of $3.64 to $3.74 per share, compared to our prior expectation of $3.50 to $3.60 per share. I want to highlight that the higher EPS range is entirely a function of the impact of the third quarter’s discrete tax items on the full-year effective tax rate. If we exclude the resolution of these discrete tax items in the third quarter, we are effectively maintaining our prior earnings guidance range of 350 to 360, but at the lower end of that range. As we look forward to fiscal 2009 and as we have stated before, we believe we have positioned ourselves well for future growth. And as an organization, we remain committed to investing in our long-term growth initiative. Roger mentioned our Paris redevelopment strategy where we expect to open three new stores over the next 15 months, two of which are flagships that are a real testament to the luxury positioning of our brand. We are excited about the prospects for our joint venture with Richemont and the new premium watch line that will now be launched towards the end of fiscal 2009. Japan still remains a tremendous growth opportunity for us in the future. As Roger mentioned, we are currently working on the appropriate inventory management and re-merchandising strategies to support growth in this market in the future, in addition to revamping the business model to capitalize on sourcing and supply chain opportunities. And while over time these initiatives will position the Ralph Lauren brand to grow in this market, we are executing these initiatives in the context of weaker Japanese sales trends. We are mindful of the macro economic trends in the US that are affecting discretionary spending and are therefore cautious regarding our outlook for our domestic market and for Japan as well in the near term. We also want you to understand that our outlook today is a preliminary view being given in the context of much more macro economic uncertainty than we have faced for some time. For fiscal 2009, we currently expect low to mid-single digit consolidated revenue growth and preliminary diluted earnings per share range of $3.95 to $4.05. Implied in this guidance is an expectation of a continuation of slower consumer traffic trends in our US wholesale and retail businesses during the year and the corresponding sales and comp trends that would materialize from this. We have planned our business more conservatively as a result. Our view of American Living, which is a new product line for us with a new customer remain consistent with our prior expectations. Our tax rate is expected to be approximately 38% and we expect to maintain our diluted share count at approximately $106 million, so our share repurchase activity is forecast to at least offset the expected dilution related to exercising options under our equity compensation program. And with that I'll turn the call back to Roger for questions and answers.
Roger N. Farah - President, Chief Operating Officer: Okay, operator, I think we will be prepared to field the questions at this point. Question and Answer
Operator: [Operator instructions]. We will take our first question from Brian McGough with Morgan Stanley, please go ahead.
Brian McGough - Morgan Stanley: Yes, great. Thanks a lot guys. I just have a couple questions. The first is, just as it relates to the guidance and this one Tracey, it just sounds like the revenue guidance for '09 is really, really light, and if I look at American Living alone, I know you guys haven't given an exact revenue number, but if I make a reasonable assumption, if that alone should get to kind of a mid-single digit, kind of top line growth rate... and then you add other initiatives like your dresses, handbags, small other goods etc. It just seems like we need to make some dire assumptions about the US consumer in order to get there. So, could you just talk a little bit more to that like are you assuming that the consumer actually turns down again from here over the course of '09?
Tracey T. Travis - Chief Financial Officer, Senior Vice President: Brian, I'm actually going to let Roger respond to that.
Brian McGough - Morgan Stanley: Okay.
Roger N. Farah - President, Chief Operating Officer: The hot potato has been passed. Brian, I think our assumptions are the following and since many of you may have these questions, I'll try to go through it somewhat carefully. Our assumptions are based on strong sales in Europe and Asia. Our assumptions are, as Tracey said that the Japanese market will continue to be softer, then we would like... I think domestically we have in essence planned our own retail businesses conservatively with comp store sales and low single digits after running 5, 6, 7 years that sort of mid 6% and 7% comps, I will call it mid single digits. And we're planning the, what I call the core large department store wholesale businesses to be down low single digits. So, in our planning with our partners based on their sales planning and a desire to get better sell through and our desire to not have our brand promoted if there is excess inventory in the market. We have planned those large men's, Lauren, kids kind of core businesses, down domestically low single digits. Handbags really don't kick in till the back end of the fiscal year, so there is not a lot of incremental growth in that, and that sort of rounds out the headline issues on the sales numbers. You know, what happened in the fall season as you all know is, business reasonably is strong through the fall and through October, November and then post-Thanksgiving, there was a real slowdown. So, I'm not sure we know exactly anything more than you do about what the consumer is going to do over the next 12 months, but since we are making inventory purchases through holiday of next year as we sit here, we started with a conservative point of view and then we'll see what the customer says as we get more of a clear read on spring selling and then into summer. At this point really all the read to get on the January business is a lot of clearance activity. So, I'm not sure we have insight yet into whether spring is going to sell at a different rate than the holiday results. So, that is [inaudible] pieces of parts that make up our guidance on the sale. It turns out the customer is more resilient, I think will be prepared to react accordingly and we won't be caught short of inventory, that's for sure.
Brian McGough - Morgan Stanley: All right, okay. Now just on our retail business, if you kind of take a step back away from the quarter or the year. So, overall your margins have been lower than a lot of others in the space for a while. You've expensive real estate, expensive staff, because they are well trained, but they have been... you've sold apparel largely and now we're getting to the point of the evolution of the brand whereby you control your distribution, but you're now also controlling the content, i.e., these are the lines which are coming on. Could you talk about when we should start to see more of that product flow through your own retail stores, which should presumably start to take the operating margin at your own retail up onto the next leg up?
Roger N. Farah - President, Chief Operating Officer: Yes, I think it's fair to say that the bulk of our businesses has been an apparel- driven business and I think for the type of luxury products and the type of locations we have, as you said I think our margins in retail are pretty damn good. I think the beginning of product categories that we are going to try to distort in the years to come are really the accessory categories, whether it's handbag, footwear, small leather goods, watches and jewelry, all of which as you now from studying the industry carry significant margin opportunities that they begin to grow in their penetration to your total business. I think that's particularly relevant in Europe and Asia. So, the appetite for luxury accessories is even greater than the US. So, I think you are right. As those businesses come online and add higher margin and add to the mix, that is going to give us the impetus for the next wave of operating margin growth in retail.
Brian McGough - Morgan Stanley: Okay, I am sorry to sneak in a quick third one, but on the American Living line, so as of now when you are dealing with like say Bloomingdale's, you really don't play the mark down money [inaudible] might take product back and put it in your own stores and you sell it at a margin that's probably at least as good as you would have done in Bloomingdale's. You can't really do that with American Living. So, can you talk about where the product is going to be cleared to the extent there is excess?
Roger N. Farah - President, Chief Operating Officer: Well, your question wandered around, let me just focus on American Living for a minute. The American Living launch as we said is a couple of weeks away and all of that product has been made to order unlike a lot of other... other businesses where we build product in anticipation of orders and then whatever the match is, the rest of excess. In the case of American Living, it is a little projected and then when the orders are placed in the buying process, we cut orders. So, there is no excess in the manufacturing process. Once it has been shipped to JCPenny as we've been doing, the merchandise is theirs, the brand is theirs and they are responsible for the sell throughs and clearing. So, it is really a different model than what we run in our other brands.
Brian McGough - Morgan Stanley: Okay, thanks guys, I appreciate taking my questions.
Roger N. Farah - President, Chief Operating Officer: Okay Brian.
Operator: [Operator Instructions] We will take our next question from Omar Saad with Credit Suisse.
Omar Saad - Credit Suisse: Thank you. Roger you mentioned at the beginning of your prepared remarks how we have kind of seen an unprecedented drop off in consumer spending. Could you talk about... you've obviously been in the business a long, long time. Can you talk about what you are seeing in terms of consumer behavior in your business, men’s, women’s. You know, you obviously got a lot of different tiers that you approach from a price point perspective. Are you seeing any discernible trends there and what it might say about the customer’s health and how people are spending their money? And also U.S. international, men’s, women’s, could you talk about what you are seeing in terms of this unprecedented change in the spending patterns?
Roger N. Farah - President, Chief Operating Officer: Well, first Omar I must respond to how long I have been in the industry, you hurt my feelings, it has only been 33 years, so I am just getting started. I am using the word unprecedented, and we picked it carefully because having gone through some of the ups and downs over the last 33 years, I would say that this is unprecedented for a couple of reasons. One, the swiftness of deceleration of the business really in the month of December, while not totally unexpected, because there was some softening in the fall. I think some of the comps around were somewhat propped up by more promotional activity. So, I think margins were coming down to drive some of those sales. But when I say unprecedented, it is because across multiple channels whether it is the high end of the luxury channel, whether it is more mainstream or whether it is really the targets in the Wal-Mart, I think we are also a deceleration across every channel. I think the macro economic issues that are facing the consumer today are broad based and far reaching, and I think if you look at the weak demand for consumer products, in a 3% interest rate environment and a lot of the other down turns, there have been things you could do to stimulate consumer spending that I think are going to be more difficult to enact in the current environment. So, you have consumers with maxed out credit cards, who may be facing mortgage issues, and I think that those issues are going to be more difficult to wrestle to the ground and are affecting broad categories. So, it is sort of a new kind of slow down for all of us and I think those companies that have great brands in our managing balance sheet carefully and selectively looking at the opportunities to gain share, I think are going to come through it I think. Having said that, we talk about 12 months because that is about as far out as we are all looking in committing inventory. I don't think we have an idea that 12 months from now, there's a specific reason for it to turn. So, you've got election issues, you've got international issues, you've got the dollar, in the weak dollar at the moment. So, there are a lot of things that are depressing the customer and I think it's broader and deeper than I've seen in a while. So, that's my view, we are preparing accordingly and we're pursuing our multi-channel, multi-brand, multi-country strategy, and so far I think we have the right strategies. I think we have the right team and we have the financial wherewithal to do it, but we're definitely more cautious than we were sitting here February of last year.
Omar Saad - Credit Suisse: Thank you.
Roger N. Farah - President, Chief Operating Officer: Thank you.
Operator: And we'll take our next question from Liz Dunn with Thomas Weisel.
Lizabeth Dunn - Thomas Weisel Partners: Hi good morning. I just wanted to say thank you for your clearly worded press release and really frank discussion of the environment. I guess my first question relates to just a follow-up to Roger's comments on Europe and it seems like you are a bit cautious on whether or not Europe follows the US trends. Can you discuss that a little bit, is that just a speculation that is based on what is happened in the past or is there anything that you are seeing in Europe that causes you to be a little cautious? And then the second question, which I would also say is a follow-up. I know there are a lot of moving pieces impacting fiscal '09. Can you talk about what your margin assumptions are, for sort of the promotional environment where you might see added spending needed in '09 as well, impacting the SG&A rates? Thanks.
Roger N. Farah - President, Chief Operating Officer: Okay Liz. In Europe, we have had an unbelievable transformation of a licensed business to own business and really consistently executed across the major developed markets, the consumer has voted yes for our product, and as you all know, our recent expansion in Moscow last spring has been a tremendously exciting opportunity for the corporation. So, we really are very encouraged about the long-term opportunities in Europe. Having said that, it's unclear whether the US issues will spread to the European customer. Clearly, we saw a lot of European shopping in the US in the holiday season with the cheap dollar and the only real signs of change in consumer spending probably centered around London, which also has a large financial community, and I think there was some reportage slow up in the marketplace through the holiday season. Our business actually continued strong through the holiday and we did not see that, but there are certainly reports and signs that some of these fiscal issues that are, you know, in the front pages here have begun to spread. We obviously all know about the issue in the KeyBank in France last week or the week before. So, we still are looking for outsider growth in Europe. We think our strategies retail and wholesale are probably aligned. And it's too early to tell whether Europe will see any meaningful downturn. But I think there was a little blip in London in the holiday season, and we'll see where it goes from there. In terms of '09 in our margin expectations, I think that in the guidance that Tracey talked about and Brian asked the first question really. It starts with a more conservative sales assumption based on all the reasons I've articulated. I think it does call for gross margins and operating expenses to be carefully managed in a difficult environment. We certainly are investing in the initiatives that we've talked about. But any discretionary spending beyond that is either being postponed or eliminated. I think we're going to be cautious in managing our own inventories, whether it's the wholesale inventory and a sell in or our own retail inventories. It's not a time to get stuck with inventory. I think one of the realities that December, January for many people in the US is that products didn't really move so well even on the first markdown. So, the size of the markdown and the reductions you have to take to move the goods is also a factor when you're looking at inventory planning. So, some of the accounting issues fall away, there are some start up costs obviously still going on in the businesses. But really starting with a more conservative sales and then working through more aggressive expense management, we think we're positioned given the current forecast. If the business trend changes, then we will adjust accordingly as well.
Lizabeth Dunn - Thomas Weisel Partners: So, you're planning Lauren Men's and Kids inventory down?
Roger N. Farah - President, Chief Operating Officer: We are.
Lizabeth Dunn - Thomas Weisel Partners: Okay, great. Thanks, good luck.
Roger N. Farah - President, Chief Operating Officer: Okay.
Operator: And we'll take our next question from Virginia Genereux with Merrill Lynch.
Virginia Genereux - Merrill Lynch: Thank you Roger and Tracey. Let me ask you, it seems like part of the fiscal '09 view is also an assumption that Japan is going to be down Roger, you know understandably I think. Is that... is that a macro issue sort of the… maybe it is taking a little longer to get Japan where you guys want it to be. Is that more a macro issue or is it more of a cultural kind of specific to that situation issue.
Roger N. Farah - President, Chief Operating Officer: That is a good question Virginia. There are really two things going on. When we acquired Japan last May, we based our full year plan going forward on sort of flat environment in Japan. And then chose to do whatever we're going to do with the market, impact it based on our timetable. And I think that... that probably was a little optimistic given that the market has been tough through most of the fall. So, that market is trending down slightly. However, the bigger issues in Japan are really not whether the markets ladder up a couple of points or down a couple of points. But really it is our sort of complete overhaul of that business. And that's a business that was licensed in 1978. The business model has changed pretty dramatically since 1978. What we are looking at is the kind of assortments we put into the doors there. Those assortments as we've examined them over the last nine months, were very broad and shallow. They were not at all merchandized like what we do in the United States or we now do in Europe. We did not have as much of the aspirational product and the tiering of brands that we do here, and we think that's a real opportunity. And in fact most of the infrastructure there was done through trading companies and third-party providers. So, not only are we dealing with the cultural issues of integration between our license holding company, Polo Japan Impact 21, add onto that, we are dealing through third-party suppliers that have for many, many years provided manufacturing support, logistics, and distribution support, and IT support. So, we've got to unwind that and then put it back together in the manner that we have done in Europe and we will do with other major markets. And then we have to plug it into our infrastructure working through some fairly significant language barriers. So, while all of that's happening and we are finding really large opportunities as we will anticipate plugging those infrastructures into our global network, it's going to take a little time to unplug and then put it back in. We do have a team of people over there that are transitionally working over the next 6 to 8 months to accelerate the changes, and even though we announced the new President of Japan this week, he will spend the next six months, part of his time here learning about the brand and the culture and then part of his time in Japan getting his feet wet on the ground. But we have this team of folks there, we have picked some of the best and the brightest that we have in the company, who have taken on a six to eight month assignment to really hit the ground running. I would say that the Japanese have embraced the changes. This is not about a resistance. There is just a lot of change going on there now to get that business positioned properly for the future, and we are very bullish on the future. But we are trying to lay the foundation now properly.
Virginia Genereux - Merrill Lynch: Yes, we saw that chaos in Europe. And then just very quickly Tracey, can you tell me how many retail doors you guys are opening or you expect to exit fiscal '09 with?
Tracey T. Travis - Chief Financial Officer, Senior Vice President: We are planning right now little over 20 new stores next year Virginia.
Virginia Genereux - Merrill Lynch: And that, is that maybe 15?
Tracey T. Travis - Chief Financial Officer, Senior Vice President: No, net it would be… the net is 20.
Virginia Genereux - Merrill Lynch: Okay, great. Thank you all so much.
Roger N. Farah - President, Chief Operating Officer: You are welcome.
Operator: And we will take our next question from David Glick with Buckingham Research.
David Glick – Buckingham Research: Good morning.
Roger N. Farah - President, Chief Operating Officer: Hi Dave.
David Glick - Buckingham Research: Hoping you would give us little more color on the size and scale of the American Living business. Ideally in terms of your revenue expectation, but maybe you can compare it to the scale, some of your other businesses like your Lauren wholesale business for example. And then Tracey if you could give us some sense, what percentage of your original shipments planned for your fiscal Q4 did you end up shipping into Q3, so we can get a sense of what kind of impact that had on the fiscal third quarter?
Tracey T. Travis - Chief Financial Officer, Senior Vice President: Well, I think… and I'll go first. I mean you can tell from our full-year guidance, how much shifted from the fourth quarter into the third quarter. So, we don't give specific information as it relates to that as you know, but try to calibrate the full-year guidance then you could get a sense for backing into that what that shift would be.
David Glick - Buckingham Research: Okay. I was assuming that, but I just wanted to get some confirmation. Thanks.
Tracey T. Travis - Chief Financial Officer, Senior Vice President: Got it.
Roger N. Farah - President, Chief Operating Officer: And the reason we did it, which is probably implied in your question, but you didn't want to ask David is that this involves millions of units across multiple categories. So, in order to get that product in the country, get it through the Chinese distribution infrastructure, get a [inaudible] store setup in early January and then each week, we rolled out another product category, one week men’s, one week women’s, one kids, one home in order to hit the start base, is a pretty mammoth task. So, as we were able to do that, I think we are all excited to get that little bit of a running head start on the execution of this. The size and scale of American Living is quite large. I think Penney has called it the largest launch they have ever had. So, that gives you some sense of scope and then I think we would say it is the largest single launch we have ever had and the fact that it is across 50 merchandised categories all at the same time is really unprecedented, because we opened our showroom downtown in New York with men's, women's, kids, home, accessories, intimate, all of those categories shown at the same time, which is not the way most markets work. In the normal markets, we have chosen in January and women's is in February and homes later in spring. So, we were able to do all that and have it be fully integrated, have all the advertising, marketing, TV, pre-print, online and catalogs all to coordinate at the same time has been a mammoth task. The other thing I'm just going to repeat, and I said it once before. Before we sell piece one, we have now delivered two Penney's products for their purchasing four different lines. So, we've delivered spring to them, we have shown them summer, we have shown them fall and we are right on the cusp of giving holiday. So, we had to build four different lines of products across 50 merchandised categories before they have actually sold piece one. So, this is quite a large undertaking and anecdotally in the test store which is not one of their biggest stores outside of Plano, Texas, which is where they are headquartered. We have already had very strong selling of product at full price. So, too early to call but with 1% of the electoral votes in, we are feeling encouraged.
David Glick - Buckingham Research: Okay. And thank you Roger and if you could... now that your four quarters ended from the development stand point, the percentage of your... of the business that is going to fall into the licensing income category versus your whole sale shipments, could you give us some help on.. is that 75-25 if you could give us some color on that that would be helpful.
Roger N. Farah - President, Chief Operating Officer: I would say the bulk, the large bulk of the business is owned and will be shipped as wholesale. We really have two other ways for doing business. One is through a normal license arrangement in categories that we've historically licensed and the third piece is really where we are working through key categories at JC Penney has expertise in manufacturing. We are designing it and then they are having it made within their network. So, for instance curtains and draperies which is one of their biggest categories that is not something that we would make and we are working through their manufacturing base executing our design to ship that. So, that is really a third leg of the stool. But the large bulk of this is straight wholesale business.
David Glick - Buckingham Research: Great. Thanks very much. Good luck.
Roger N. Farah - President, Chief Operating Officer: Okay. Thank you David.
Operator: And we will take our next question from Robbie Ohmes with Banc of America Securities.
Robert Ohmes - Banc of America Securities: Hi thanks. Two quick follow ups. Roger, just a follow up on Virginia's question on Japan. When you are looking at how the wholesale business is distributed, are you going to go direct like some of the other luxury brands do in Japan and do in-store shops so that you would be moving totally away from companies like [inaudible] in distribution? That is my first question and then the second question is, I was hoping you could in this environment give us some insight on to how the department store customers are changing their strategies and how that fits in for Polo and Chaps and American Living. [inaudible] department stores who have clearly been talking about driving comps with higher AURs, how are they thinking about driving their businesses in this type of environment? Thanks.
Roger N. Farah - President, Chief Operating Officer: Okay, well, Robbie, let me start with the Japanese question. Our distribution today is primarily through more or less 120 department store doors, that then we may have multiple shops within, we may have a shop for men's, we may have a shop for women's, we may have a shop for kids and home, etc. So, we are now directly distributing men’s, women’s, and denim products through that network that we now are doing direct. There is no more roll for Onward Kashiyama, which ended when we bought back the company in May. The other key merchandise categories like kids and golf and some of the other categories are still going from the licenses to those department store channel and those licenses, as I said in the script are coming to an end at the end of February. So, we own directly. Now the little bit of a nuance in Japan is in the men's business, we actually run that business on a consignment model. So, we sell it in, we are responsible for the staffing and the sell through, and that's different than in the women's business, where it is a straight wholesale model. But there is no middleman in any of those businesses and we are distributing through those stores. Overtime, like other brands, we would like to complement that with a network of our own free standing stores, but at the moment we have only got two of those and they are trending well, they have more luxury products in the department stores, and they are creating a halo in that market of what Ralph Lauren can be. But the distribution today is through these department store doors and hopefully that's helpful. In terms of the department store customers and what we are seeing, I think it's clear that there was a fall off in foot traffic in department stores last year, whether they be mall based or in some cases off mall. And I think the strategy that most people are trying to employ is to focus on and get more of the conversion rate, so that foot falls that are coming in are converting at a higher rate and I think most major retailers track what their conversion rate is from people who walk in the store to what people buy. I think people are probably focusing on units per transaction, which I think is an opportunity to get more share of wallet, and I think for many years the focus has been on average unit retails, and I think that's probably taking a bit more of a back seat given the current environment. So, it's probably conversion rate number one, units per transaction number two, average unit retail will be in third place in my opinion.
Robert Ohmes - Banc of America Securities: Roger that's very helpful, thanks so much.
Roger N. Farah - President, Chief Operating Officer: Okay. We have one more question, is that right, two more questions.
Operator: Yes, and we'll take our next question from Jeff Edelman. Please go ahead.
Jeff Edelman - UBS: Thank you, good morning.
Roger N. Farah - President, Chief Operating Officer: Good morning, Jeff.
Jeff Edelman - UBS: My first question revolves around margins. With the operating margin down about 250 basis points this year, I guess we got about 100, which are acquisition costs, about 100 which was investment spending and let’s say 50, 40, due to the slow down in the environment. The implied margin for the New Year and I know you are being conservative, is a little less than 100 basis point increase give or take a little bit. So, my question is that's probably the elimination of the acquisition costs. Are we going to see the investment spending continuing at a pretty high rate, and I guess there is also a higher mark down assumption?
Tracey T. Travis - Chief Financial Officer, Senior Vice President: Well, I will weigh in Jeffrey and then let Roger weigh in as well. We talked about some of the investment spending related to Paris, related to some of the other initiatives like handbags that we will have in the upcoming fiscal year. In addition to that, with our revenue expectation, our revenue growth expectations next year, that's a pretty big slow down from where we have been over the last few years. So, it does factor in the reality that the US environment that does have a leverage impact on our expense base. So, I think you are seeing the combination of those things in addition to, as you called out the fall off of the purchase accounting not having the level of operating margin expansion that otherwise we would have if the revenue growth was twice what it was.
Jeff Edelman – UBS: Okay, thank you. And then secondly, as we look forward what type of increase can we expect to see in total retail square footage over the next few years and just one little side one, how much did currency favorably impact during the quarter?
Roger N. Farah - President, Chief Operating Officer: Well, I will try the real estate square footage question. I think I would generalize and give you an answer of low single-digit, Jeff. I think what you are seen over the last four or five years is we have done a pretty good job of opening stores that are highly productive and closing stores that are not as productive or not positioned anymore in the right location. I think you are seeing other retailers taking very large positions on closing doors, and I think we have probably done a better job of remixing that and getting growth in the productivity per square foot. Since we started to talk about this, our sales per square foot of the company have grown by a 100% on our retail network. So our focus has not been necessarily on growing square footage 5% or 7% or even higher as some have been. Our focus has been on trying to get sales per square foot and productivity measures to jump dramatically. Given the higher real estate costs and higher customer service cost that we talked about earlier, we think that's been the best pass for us. With that said, I believe the future, Jeff, will have more real estate growth internationally. I think you will see it in Asia overtime, and I think you will see it in Europe overtime, as we are more comfortable that we are well positioned here in the United States. So, that's really our philosophy as we sit here today.
Tracey T. Travis - Chief Financial Officer, Senior Vice President: And Jeffrey on your question with respect to foreign exchange. Primarily for us the euro impact was about $23 million worth of revenue growth in the quarter or about 2% of our growth rate.
Jeff Edelman – UBS: And the margin impact?
Tracey T. Travis - Chief Financial Officer, Senior Vice President: The margin impact was significantly less than that.
Roger N. Farah - President, Chief Operating Officer: As we discussed on the margin Jeff, we have the conversion of profit back to US dollars, which helps us, but we have the negative of the cost of goods going the other way against us. So, it is kind of a less compelling number than the sales number.
Jeff Edelman - UBS: Great, thank you very much.
Roger N. Farah - President, Chief Operating Officer: Okay, last question. We have one more I think.
Operator: Yes. We will take our final question from Christine Chen with Needham & Company.
Roger N. Farah - President, Chief Operating Officer: Okay, Christine.
Christine Chen - Needham & Company: Wondering about Japan, are there seasonality differences in the wholesale business than in the US? Are they more 2 seasons versus 4 seasons, and how do the holidays have an impact over there and then what about the seasonality of Easter in the US?
Roger N. Farah - President, Chief Operating Officer: Wow! That's the one to close on. I would say that in general, there is the same seasonality to the business. There is definitely a longer summer, warmer fall, fabrics [inaudible] are all important in the fall selling season. The holiday pattern is different, issues like Golden Week and other holidays are you know not on the same necessarily calendar as the US, but more or less at the end of the day, those are not meaningful differences in terms of how we will run and operate our business. The trends years ago were for Japanese consumers to travel, buy a lot gifts, bring them back which was the custom. As harmonizing of prices on a world wide basis has really come into effect, as major brands have positioned themselves in Japan differently than in the past, I think the world is coming together. So, the good news for us is that whether it's Europe or Japan or it's the United States, there is definitely a more common beat to the business than not [ph]. When you get into South East Asia which has much warmer climate issues year round and certainly when you get into the southern hemisphere where the seasons are opposite, they require some operational maneuvering, because when it's winter here it's summer there, and so it gets a little complex when you talk about the southern hemisphere, which for us today is not a huge business. I think the issues we will have to wrestle with in time are more the growth and opportunities in South East Asia than how do we wrestle with tropical or sub-tropical climate almost on a 12 months a year basis. So, we are learning about that, but less meaningful to the Japanese business. With that, I thank you all for your interest and support. We look forward to updating you again at the end of our fourth quarter. Thanks.
Operator: Thank you for your participation and have a nice day.